Operator: Good morning, and welcome to the Clarivate fourth quarter 2020 earnings release. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Mark Donohue. Please go ahead.
Mark Donohue: Thank you, Jason, and good morning, everyone. Thank you for joining us for the Clarivate's Fourth Quarter and Full Year 2020 Earnings Conference Call. With me today are Jerre Stead, Executive Chairman and Chief Executive Officer; Richard Hanks, Chief Financial Officer; and Mukhtar Ahmed, President, Science Group. Unfortunately, Jeff Roy, President, IP Group could not be with us today due to a personal conflict. We're pleased that Gordon Samson, Head of APAC Strategy and Growth could stand in for Jeff. Gordon is the former Chief Operating Officer of CPA Global. All will be available to take your questions at the conclusion of the prepared remarks. As a reminder, this conference call is being recorded and webcast is copyrighted property of Clarivate. Any rebroadcast of this information, in whole or in part, without prior written consent of Clarivate is prohibited. This morning, Clarivate issued a press release announcing our financial results for the period ended December 31, 2020. The release as well as an accompanying supplemental presentation is available on the Investor Relations section of the company's website, clarivate.com under Events and Presentations. During our call, we may make certain forward-looking statements within the meaning of the applicable securities laws. Such forward-looking statements involve known and unknown risks, uncertainties and other factors and may cause the actual results, performance or achievements of the business or developments in Clarivate's industry to differ materially from the anticipated results, performance, achievements or developments expressed or implied by such forward-looking statements. Information about the factors that could cause actual results to differ materially from anticipated results or performance can be found in Clarivate's filings with the SEC and on the company's website. Our discussion will include non-GAAP measures or adjusted numbers, including adjusted revenue and adjusted EBITDA. Clarivate believes non-GAAP results are useful in order to enhance and understanding of our ongoing operating performance, but they are supplement to and should not be considered in isolation from or as a substitute for GAAP financial measures. Reconciliations of these measures to GAAP measures are available in our earnings release and supplemental presentation on our website. After our prepared remarks, we'll open the call up to your questions. With that, it's a pleasure to turn the call over to Jerre.
Jerre Stead: Thank you, Mark, and thanks to all of you for joining us this morning. 2020 was a year we will never forget. I've been leading public companies for more than 41 years, and last year presented a whole host of new experiences and challenges. Fortunately, Clarivate has an incredible leadership team, which is supported by an amazing global team of more than 8,400 colleagues who have continued to go above and beyond. The contributions from all these individuals made it possible for us to deliver growth during uncertain times, complete several acquisitions, including 2 transformative ones and continue to make significant progress on strategic growth and sustainability objectives. I am very, very proud of how swiftly our team migrated to almost 100% of our workforce working from home within a few weeks when the COVID pandemic struck across the globe. We're extremely pleased that we experienced no disruption to any of our services. At our Investor Day last November, we highlighted how we are reimagining the way we work going forward based on the success we enjoyed last year. We used last year's disruptive events to chart a path to a more efficient way to run the business today and into the future. We've seen significant benefits from these actions such as higher productivity and higher colleague engagement. Additionally, we'll benefit from cost savings that can be invested back into the business to drive growth. Richard will cover the financials in detail. However, before I highlight some of our major achievements, let me provide a brief overview of our results. Adjusted revenue for the fourth quarter increased 83% on a constant currency basis. Adjusted EBITDA was up 137%, and our adjusted EBITDA margin improved more than 900 -- 920 basis points, to be exact, to 42% compared to last year's fourth quarter. The transformative acquisitions of DRG in February and CPA Global in October were leading contributors to our growth. We're also very pleased to see a recovery in transactional revenue during the fourth quarter on both a sequential and year-over-year basis. On a full year basis, 2020 was in line with our full year guidance and an improvement over 2019 on an organic basis despite the headwinds of the global pandemic. Adjusted revenue increased 31%, organic revenue increased 1.2% at constant currency due to a 3% increase in subscription revenue, partially offset by a 7% decline in transactional revenue as a result of the COVID pandemic. Adjusted EBITDA increased 66% and adjusted EBITDA margins for the year increased to 38%, almost 800 basis points over 2019. We continue to see the many benefits of the organization improvement initiatives we've implemented during the last 18 months. These actions were beneficial in helping to drive organic subscription growth and our subscriber retention rate of 91% during a year of economic and social confusion and disruption. This is also a testament to the value of the products and information that we provide to our customers. The benefits of the acquisitions are clearly paying dividends as we delivered strong adjusted free cash flow of $302 million in 2020, an increase of $201 million over the prior year. We expect another significant increase in adjusted free cash flow this year, growing to the -- in a range -- growing to a range of $450 million to $500 million. This will allow us to delever as well as we continue to invest in organic and external growth opportunities. Since going public less than 2 years ago, we simplified our organization structure. We've implemented cost efficiencies. We've realigned our sales structure. We've improved automation and optimization of data processing, and we've added strategic and transformative acquisitions. All of these actions drove growth in 2019 and 2020 and will lead to even stronger growth in 2021. In fact, by the time we exit 2021, we will have almost doubled our revenue from the 2018 levels, almost tripled our adjusted EBITDA and expanded our adjusted EBITDA margins more than 1,500 basis points to 44% to 45% from less than 29%. And we are far from being done. In fact, we're just getting warmed up. In 2020, our team made great progress across our 4 strategic goals and on many sustainability initiatives. We saw a significant increase in our colleague engagement score, which increased to 77 from 69. With the increase, we moved above the benchmark of 74. I'm very proud of the work the team's done to better connect with our colleague -- global colleagues, ensuring their voices are heard and that we continue to build an organization that is considered one of the very best places to work in the world. This gave us even more confidence that a digital workplace can be very effective at Clarivate without impacting our culture. We also spent significant resources on continuing to improve our customer delight score. Our score increased from 79 -- to 79 from 76 in 2019. Best practice world-class, it is in 82 and we're clearly moving in that direction. We continue to receive very high marks and positive comments about our products and our information quality. Another key priority is focusing on top and bottom line growth. At our Investor Day in November 2019, I announced my personal goal to achieve $1.5 billion in revenue and $650 million of EBITDA and $450 million of free cash flow exiting 2023. In 2020, we acquired DRG and CPA Global, 2 transformative acquisitions that have moved us beyond these financial targets by the end of the year, 2 years ahead of that schedule. By adding DRG to our Science Group and CPA Global to our IP Group, we created a true end-to-end platform to better serve our more than 30,000 global customers and provide enhanced offerings to potential customers. One of the many appealing attributes of this addition to our industry-leading portfolio of products is the abundant opportunities we have for cross-selling and upselling across our entire customer base. We also completed several tuck-in acquisitions last year, including IncoPat and Hanlim which provide additional IP offerings, both in the high-growth Asia region and to help us to continue to improve our customer engagement and delight scores, we acquired CustomersFirst Now. We also improved our portfolio over the past year by divesting non-core assets. We sold MarkMonitor on January 1, 2020. And this past November, we divested the Techstreet business. During 2020, we launched 19 new products and implemented enhancement to numerous small product offerings. The direct outcome of the investments we made as a premier provider of information and analytics with the Science and IP industry worldwide. At our last Investor Day, Jeff Roy and Mukhtar, who will be -- is with us today, outlined how our recent acquisitions and enhanced offerings are well positioned to capture a significant part of the growing addressable market across these industries. The realignment of our sales force and new global business centers will play a leading role in capitalizing on the upsell and cross-sell opportunities in front of us. Since mid-2019, we've identified more than $80 million of permanent cost savings to improve efficiencies and drive future growth. Additionally, we will realize over $100 million in cost synergies from these acquisitions. We're ahead of our plan for all cost savings and integration activities. We exited 2020 with $118 million of cost savings implemented and expect to realize the remaining savings by the time we exit 2021, at least 3 months ahead of schedule. During 2020, we kicked off sustainability initiatives with a goal to create a world-leading sustainable company. We launched, implemented and completed numerous ESG objectives last year. We will be publishing our first sustainability report within the next few months. We set a goal to be listed in the Dow Jones Sustainability Index and the FTSE4Good Index by the end of 2023. Please take a minute to review the supplemental fourth quarter earnings deck posted within our IR section on our website for a list of our progress on the sustainability initiatives. Turning to 2021, the COVID pandemic is unfortunately still relevant across the globe. We expect the pandemic to gradually reduce during 2021 and have plans on that basis. This morning, we reaffirmed our full 2021 guidance: revenue of $1.78 billion to $1.84 billion, adjusted EBITDA of $785 million to $825 million, adjusted EPS of $0.73 to $0.79 and adjusted free cash flow of $450 million to $500 million. I'll now turn the call over to Richard.
Richard Hanks: Thank you, Jerre. 2020 was clearly an interesting year. While a small segment of our business did not go unscathed, we were able to successfully steer the company through a couple of turbulent quarters and deliver organic growth. We exited 2020 stronger than when the year began as a result of a series of strategic acquisitions and significant operational improvements. Fourth quarter adjusted revenues were $471 million, an increase of $216 million or 83% at constant currency compared to last year's same period. Included within the $471 million is $6 million of revenue from Techstreet, which we divested in early November. So adjusting out the Techstreet, stand-alone revenue would have been $465 million for the quarter. Adjusted revenues exclude the impact of a $16 million deferred revenue adjustment made as a result of purchase price accounting, primarily stemming from the October 2020 acquisition of CPA Global. The acquisitions of CPA Global, DRG, IncoPat and Hanlim together added 91% to revenue growth this quarter. The growth was partially offset by the Techstreet disposal and the MarkMonitor brand protection divested products. The foreign exchange impact on our revenues in the fourth quarter was a favorable 1.6% due to dollar weakness as compared to last year's fourth quarter. Organic revenue grew 2.6% on a reported basis and 1% at constant currency in this year's fourth quarter compared to the prior year period, driven by the rebound in transactional revenues. The organic revenue growth rate was negatively impacted by a onetime $3.5 million deferred revenue adjustment in this year's fourth quarter, which was no comparable amount last year. This adjustment is not related to the previously mentioned purchase price accounting deferred revenue adjustments of $16 million. This onetime adjustment of $3.5 million lowered the fourth quarter growth rate on a onetime basis by 1.4%. Total subscription revenue was $236 million, an increase of 11% at constant currency, driven by acquisitions, partially offset by divested products and a onetime $2.6 million reduction stemming from the previously discussed deferred revenue adjustment. Organic subscription revenue growth in the fourth quarter, excluding the impact of the $2.6 million adjustment, would have increased 3% on a reported basis and was up 1.5% at constant currency. As Jerre noted, subscription revenue renewal rates were 91% for 2020, up from 90% reported in 2019 despite the impact of the global pandemic. Transactional revenue increased to $121 million, up $75 million or 163% year-over-year on a constant currency basis, driven by our acquisitions. Organic transactional business revenues increased by $2 million or 4% at constant currency, reversing the decreases we experienced in the second and third quarter of 2020 due to the COVID pandemic. Transactional revenue growth was also reduced by $1 million on a onetime basis as a result of the deferred revenue adjustment. Absent the onetime revenue adjustment, organic transactional revenue growth was 8%, including the favorable impact of currency and up 6% at constant currency. The improvement in transactional revenue was primarily driven by growth in Web of Science backfile and customer data sales, life sciences professional services and partly assisted by a return to growth in CompuMark search volumes. Starting with this quarter's report, we are breaking out reoccurring revenue within the supplemental revenue tables to distinguish it from subscription revenue. Reoccurring revenue is the highly predictable revenue streams from the patent renewals business acquired as part of the CPA Global acquisition. Reoccurring revenue in the fourth quarter was $115 million with no figure for the comparative period. Subscription plus reoccurring revenue accounted for 75% of adjusted revenues in the fourth quarter, demonstrating our highly predictable revenue model and was 77% on a full year basis. ACV growth was 14% for the fourth quarter, which includes acquisitions. Excluding divestitures from both periods, ACV growth was up 25%, while on an ongoing basis, ACV increased by 3.4%, driven by organic growth and annual price increases. Adjusted EBITDA in the fourth quarter increased by $116 million or 137% to $200 million compared to the prior year period. This was driven by contributions from acquisitions, strong margin flow-through and the benefit of the cost saving initiatives. Excluding a small contribution from Techstreet in the fourth quarter, adjusted EBITDA was $199 million. Our fourth quarter adjusted EBITDA margin improved by 920 basis points to 42%. Cash taxes in the fourth quarter were $7 million compared to $8 million in the prior year period and were $28 million for the year. Adjusted net income increased by $94 million to $136 million for the fourth quarter, and adjusted diluted EPS increased to $0.22 per share compared to $0.13 per share in last year's fourth quarter. The weighted average share count of 627 million shares used to calculate fully diluted adjusted EPS increased by 90% or 297 million shares since last year's fourth quarter, driven by the issuance of ordinary shares in conjunction with the acquisitions of CPA Global, DRG as well as a primary offering in June and the exercise of public warrants. On a full year basis, adjusted revenues were $1.277 billion, an increase of $302 million or 31% at constant currency. Excluding the divestiture of Techstreet, adjusted revenues were $1.228 billion for the year. Adjusted EBITDA for 2020 of $487 million increased $193 million or 66%. Excluding Techstreet, full year adjusted EBITDA was $478 million, with adjusted EBITDA margins for the year of 39% ex Techstreet. Adjusted net income in 2020 increased $137 million to $289 million, and adjusted fully diluted EPS increased to $0.64 per share compared to $0.53 per share in 2019. The 2020 EPS was impacted by a 57% or 177 million increase in weighted average common shares using the calculation. Adjusted free cash flow for the full year 2020 increased by $201 million to $302 million, driven by the growth in revenues and EBITDA. Additionally, in the fourth quarter, we benefited from a $45 million cash benefit from CPA Global. There was a favorable working capital timing difference between the Q3 pre-acquisition period and the Q4 post-acquisition period. Capital expenditures in 2020 were $108 million, an increase of $38 million over 2019. The increase is a combination of the addition of DRG and CPA Global as well as a higher level of product application development as we accelerated the delivery of new products to our clients and drove improvements across the product portfolio. We ended 2020 with $258 million in cash, gross debt of $3.5 billion. With the incremental borrowing associated with the CPA acquisition and DRG acquisition, our total debt increased by $1.9 billion in 2020 as compared to 2019. Stand-alone adjusted EBITDA, which we are required to report on a trailing 12-month basis pursuant to the reporting covenants contained in our credit agreement and indenture, was $762 million for 2020. This includes the benefits of the CPA Global and DRG acquisitions. Please refer to our earnings release for a reconciliation from net loss to adjusted EBITDA and from adjusted EBITDA to stand-alone adjusted EBITDA. We ended 2020 with a net leverage ratio of 4.3x compared to 4.7x at the end of 2019. Our goal is to be in the low 3x range in the medium term. Turning to the 2021 outlook, Jerre highlighted our 2021 financial guidance metrics. Let me add some additional color around the year. As you think about the quarterly cadence of our growth throughout 2021, a few things worth reiterating. As we've previously stated, DRG revenue is much more heavily weighted to the back half of the year. Approximately 60% of its revenues occur in the second half, with about 60% of that occurring in the fourth quarter or, said differently, more than 35% of DRG revenue for the year comes in the fourth quarter. Transactional revenue typically has seasonality within the portfolio, with the fourth quarter historically being the strongest. Budgets reset at the beginning of the year so we normally see a pullback in backfile sales and volumes at the start of the year, and then it picks up as we transition through 2021. We expect organic revenue growth to be back half weighted as the operational improvements really start to take hold, and we begin to realize the benefits of the strategic acquisitions. Additionally, we currently believe we will start to see some economic recovery from the COVID pandemic later in 2021. Taking all of these factors into consideration and including the recent addition of CPA Global, our full year revenue profile is weighted at approximately 47% first half and approximately 53% second half. With that, I'll now turn the call back to Jerre.
Jerre Stead: Thank you, Richard. We're really pleased about the changes we made in 2019 and 2020 and the new additions to our portfolio of industry-leading IP and Science Products, and we're very optimistic that 2021 will be an ever stronger year as we continue our pursuit of excellence. Our team at Clarivate is laser-focused on delivering stronger growth this year and maximizing the many, many benefits of the improvements we're making and will continue to make and our recent acquisitions. We're now ready to take your questions. [Operator Instructions] Operator, please?
Operator: [Operator Instructions] The first question is from George Tong from Goldman Sachs.
Keen Tong: Jerre, you outlined several initiatives to accelerate organic growth in 2021, including new product introductions and a realigned sales force. Can you elaborate on what you believe will be top drivers of organic growth acceleration this year and what your latest expectations are for organic growth exiting 2021?
Jerre Stead: Yes. Great question, George. Just as a reminder, if you look at Q4 exit and use current exchange rates and then take out the deferred adjustment that's required with acquisitions, we actually delivered 3.9%, almost 4% organic growth in Q4. So that's where we're taking off them, which is a great place to leave. Back in 2019, when we did our first Investor Day, Richard and I representing our entire team said we expected to operate between 6% and 8% organic growth in 2021. And we feel very good today, particularly if you think of our pro forma because we'll only have 1 quarter of organic growth of CPA because we didn't close to the fourth quarter. But if you think about that, and we'll report it, by the way, so you can see it, I feel very good about the upside of that 6% to 8% range. I also am really pleased with, when I look back now at what happened in pandemic, when I look back at a lot of our customers, I couldn't be more pleased with where we're at from a growth standpoint. Two huge things, Richard said we would see organic growth increase in the second half, which we will. A big piece of that, of course, is being able to have DRG only for 10 months and have CPA in for 3 months of our organic growth in the second half. But a big piece is where we'll also see the inside sales effort taking place. I couldn't be happier, on our call yesterday, our weekly call, Mukhtar emphasized, along with Mike Morhardt and Jeff, how critical it was that we use that inside sales organization. We're in the process, really important to understand, we'll exit 2021 with about 75%, almost 80% of our total worldwide customers, existing 30,000 base, that will be managed by inside sales. Perhaps not only are we going to see, including [inaudible] parameters in the inside sales, we're also going to see our ability to focus much better on external global markets. So I just couldn't feel better about it. It's a great question, George. Hang on and you'll see that happen as the year goes on.
Operator: Next question is from Manav Patnaik from Barclays.
Manav Patnaik: I just wanted to ask just broadly, I understand the impacts from COVID, obviously, it will continue for some time. But on a high level, can you just talk about your customers in terms of how they've held up relevant to their budgets and businesses? And perhaps also just throw in some comments on, have the competitors held up as well as you? Does that create opportunities or are the valuations still high?
JerreStead: Great question, I'll start, then I'll have Mukhtar comment and then Gordon and then Rich will wrap up because this is a critical question. It's actually really looking back in hindsight, I'm amazed at how well we did execute with the pandemic in 2020. If you think about our biggest customers in our high global businesses, the markets that we participate in, but the disruption was amazing. Some of the good news, of course, was the great job that Mukhtar and his team have done in the life science piece and the fact that we actually provided a data pool for all of our life science customers to help them attack COVID. But Mukhtar you start, and then Gordon, please pick up on your view of particularly the customers from a CPA standpoint. Mukhtar?
Mukhtar Ahmed: Sure. Sure. Thank you, Jerre. Certainly looking at our business, it's one that certainly has shown resilience certainly through the pandemic. And whilst we've seen some of our customers certainly delay some of the decision-making, which is really a timing issue and no reflection on our data or our products, which remain a necessity for our customers. Overall, our business has held up very well. If I look at the top 2 of our academic customers, and this is typically top tier university. Most of them have held up pretty well with their budgets and investments. Naturally, there's some evolution that will occur in academia in future years, but we think we're very well placed here to partner with academia as they go through those changes. And that's key for us moving forward is really being a partner for that transformation and change. And broadly, across Life Sciences, what we've seen is certainly an acceleration in investment in the science in the regulatory space, just a virtue of the vaccines that have all been accelerated to market around the world. We're seeing a constant need for more information to improve those regulatory pathways. And so that's really driving more customers and prospects towards us because those changes are data-driven changes and so with all of the investments that we've made in our products, and of course, we released those at the tail end of last year. Typically with products, our focus is on peak adoption of those products. And that typically takes sort of 6 months or so in a normal market. And in 2021, we expect to very much sort of pursue those opportunities. 
JerreStead: Thanks, Mukhtar. Gordon, please.
Gordon Samson: Thanks, Jerre. Thanks, Mukhtar. I think Mukhtar has covered a few things that are in common with the IP business. The IP business in its underbelly is largely around nondiscretionary spend. And what I mean by that is that for most customers, protecting and managing their IP across the whole IV life cycle, there is a minimum spend you need to make to keep it healthy. So whilst we've seen some pressure on some transactional areas, they are largely areas of downgrading spend as opposed to ceasing spend. I think there are 2 things that encourage us as we watch the economy coming out of COVID this year. One is there is a continued investment in R&D globally and certainly in certain regions more so. That is both customer investment as well as institutional or government investment. And there's real confidence in the IP filings that we track, which are a good leading indicator of what's to come down the line in terms of IP management spend. So those are factors that I think give us confidence. 
JerreStead: Thanks, Gordon. Richard, wrap up because it's a critical question for us. And I'll just say that the team has done an amazing job as we get ready and early indications at Q1 this year all the things we said we're going to do, it's happening. Richard?
Richard Hanks: Yes, just some final comments. I would say this that our academic and government business anchor -- centered on our Web of Science portfolio is rock solid and anchor tenant. In the life sciences space, we're very attractive to that segment. It's high growth. We've got broad end-to-end offerings and an area that we're particularly focused on. And then in the IP space, where we now have a $1 billion revenue business with the acquisition of CPA Global, in that -- the CPA Global business is growing right in the zip code in that 6% to 8% range with upside. And so that will be a very important driver for us in 2021 as we continue to take market share. And then finally, we're very focused on our data offerings and the data exhaust from our products, and that will be a driver for us in terms of bringing new product to market this year, which will drive growth at the back end of this year and into 2022. So overall, I think we consider ourselves very well placed.
Operator: Next question is from Toni Kaplan from Morgan Stanley.
Gregory Parrish: This is Gregory Parrish on for Toni. I was hoping you could give some additional color on APAC. There's a little bit of deceleration there last quarter and we'll have the growth once the K comes out. But how was the growth this quarter? Did you see a rebound or is there still some pressure? And another reason is a key growth driver for you, so if you could talk about your expectations for 2021.
JerreStead: Yes. No, thank you. Gordon, that's right up your alley right now so give him color and then Richard will pick up on it.
Gordon Samson: Thanks, Jerre. So in APAC in quarter 4, we saw some very good transactional recovery in backfile sales, also very good custom data sales in the quarter. And that was supported by the recovery that we've now been watching in our CompuMark Search business. And that continues into quarter 1. We are also very much focused on our market verticals, so focusing on those areas of highest growth potential, both reflecting investment in the market but also reflecting areas where we believe there's additional growth from the existing customer base or prospect base.
JerreStead: Thanks, Gordon. Richard, little more color and we'll move to the next question.
Richard Hanks: Absolutely. Yes, so Greg, for the year, APAC up 4.6% compared to 4.9% in 2019, so right in the same range of growth as we enjoyed in 2019, even given the pandemic. So we're very pleased with that result. As we have said previously, we consider APAC to be strategically a very, very important driver of growth for us. We completed the IncoPat transaction in China in Q4. We completed the Hanlim acquisition in South Korea in Q4, both of those businesses in our IP space. So you will see, as you have seen, a continuing focus on the region because the underlying growth prospects there are very, very attractive to us and apply across our portfolio.
Operator: The next question is from Andrew Nicholas from William Blair.
Andrew Nicholas: With CPA Global now having been under your leadership for 3 to 6 months now, I was hoping you could speak to client reception to the combination and how it seems to be impacting the competitive environment in the IP space more broadly. And then relatedly, I think we've seen a few of your bigger competitors in that space, adding the M&A of late. And so I'm just wondering the extent to which you expect additional competitive pressure in that market over time as other players try to match your scale. 
JerreStead: Happy to. Great question. I'll start, Gordon will pick up. Just as a refresher for everybody, we're a billion-dollar business today in IP. Our next closest competitor is about $242 million. So good luck to them to try to catch up because what we would expect to be doing is growing 7% to 9% as we exit 2021. But couldn't feel better, we're well ahead of the schedule we laid out for -- of the cost savings and revenue integration that we're getting out of CPA. So this is -- I just couldn't be happier with where we're at, at this point in that I always like being in a position where the competitors are chasing us, and we're going to do our very best to keep it that way for years to come. But Gordon will give you great color on how the perception of the customers is. I should tell you, before we start, late in fourth quarter, we ran our first customer delight survey with CPA customers as well as we did DRG, by the way. And couldn't feel better. Came in very high in the belief systems of the value of the product. Actually scored higher and easy to do business with. So we're trying to learn -- not trying, are learning at what CPA did so well to make it that way with us. Gordon? 
Gordon Samson: Thanks, Jerre. Yes, the customer reaction that I've had firsthand, as well as from the broader team, has been entirely positive. I'm actually quite excited about the prospect of Clarivate in large business with CPA. There are a couple of critical areas in that comment. One is the expanded product portfolio, which allows Clarivate now to truly offer that end-to-end life cycle service, which neither organization could do independently. Those solution sets are dependent on integration, which Clarivate has a good and continuing track record of delivering. That means that customers can really get their IP to market faster, easier to do business with. And also the cost of them doing business is critical to them, which, again, is enabled by the combination of CPA and Clarivate. So all the feedback at the moment is, I would say, universally positive. And as for the M&A of the competitors, I think Jerre said it all.
JerreStead: Thanks. The other thing -- thank you, Gordon, that you should all be thinking about, we've probably not covered it, we'll cover it more in weeks to come, but don't get confused about Science and IP groups. The cross-selling inside of IP into Mukhtar's business, opportunity is huge. We've never really tapped that. I'll give you just a couple of quick examples. Mukhtar could expand on this a lot because it's so exciting. This last year, we all support a customer-focused selling teams. One of the ones I supported was the top research universities in the United States, where we do well. Of those universities, none of them, none of them, had CPA ever sold into. None of -- and in fact, maybe universities, but as I've talked with them, some of the universities track their own IP, their patents in as many as 6 separate places inside of the university. You can think about our -- and we take a year or 2 because that's -- things don't move that quick in universities. But think about us saving them $4 out of $5 and making sure they're far more efficient. So that's exciting. Same thing's true though, as Mukhtar, drives forward of selling inside of science, the life science business offerings we have into universities, too. Now the flip side goes on for us, if you think about what we can provide with life science into some of the largest customers that CPA had. Samsung, just as an example, which is one of the leaders in the world and we've got great opportunities. So you're going to see that happen for years to come. And as we bundle our offerings and focus the outside sales groups, now that we have freed them up from chasing so many smaller customers, focus the outside groups on bundles that go across the board, think about us being the only company that exists with end-to-end solutions for research in the world. And I must say the new products, which Mukhtar briefly commented on inside of science are so exciting because that, too, will kick in both sides of the coin in 2021 and 2022. So feeling really good. Great question.
Operator: [Operator Instructions] The next question is from Shlomo Rosenbaum from Stifel.
Shlomo Rosenbaum: Just given that this year is really where the rubber is supposed to meet the road in terms of getting the organic growth to accelerate, could you just maybe talk a little bit more about how pricing layers in through the year, how much pricing was in the fourth quarter? And then it might be helpful, Richard, also to give us kind of a base revenue for each of the first couple of quarters, normalizing for the divestitures, so that we have really a base number upon which to model. Maybe you can help us out with that. 
JerreStead: Let's work backwards. Thanks, Shlomo. We'll give you all the help we can because there's no question in 2020, if you step back, it was an amazing year for us but we did divest some businesses, then we added some significant businesses. Richard gave you the 47%, 53%, which is critical for us. He also gave you that 35% of total DRG is fourth quarter. So we'll give you more help with that, Richard, and then we'll pick up on pricing. I'll pick the pricing. 
Richard Hanks: Yes. So I think that, that's really it. We've given you the revenue profile and we've given you the guidance for the full year. Consistent with that, that to reaffirm the guidance we gave just before Thanksgiving for 2021, and we're very, very pleased with the progress coming into 2021. And you want to go to pricing, Jerre? 
JerreStead: Please. You go ahead and start, I'll close because it's -- I'll start saying it's pretty darn good but you pick up. 
Richard Hanks: Yes. On pricing, I would -- we spent a lot of time internally, really training the front office in terms of our expectations around price yield. Jerre and I reviewed all the price yield increases in late summer, which then we locked into our systems and obviously go out with our renewals, which kick off in Q4 for January 2021 renewals. And yes, we're pleased with progress. It's in line with our expectations, and we are very committed to achieving pricing equilibrium at 4% to 5% annual price increases going forward.
JerreStead: Richard, I'd just add 2 quick things with that. One of the upsides we have with CPA is price realization, too, especially when we combine that with the offerings in both Science and the other parts of IP and bundle offerings no company in the world has. So you'll see us moving forward more aggressively in 2022 but very pleased with that in 2021. Two other critical comments. So for the first time, we mentioned it before last year, we're now able to provide all of our sales teams with actual usage by product by customer. Huge difference. And we did the pricing that way, price realization. So we feel very good about that, and we'll continue to do the job of putting in place all the automation that we're working so hard on in our back room on lead through cash to provide more time than ever before for our people on the street, so to speak, as well as our inside salespeople to be more productive as hunters because you're going to see us not only do what we said we were going to do on the organic growth but you'll see us adding customers. Last comment I'd make, early indications say that our renewal rates, which -- I was very pleased with, considering everything that went on in 2020, our renewal rates are up and we expect that to continue for the balance of 2021. Great question.
Operator: Next question is from Zach Cummins from B. Riley Securities.
Zachary Cummins: Jerre, it's kind of perfectly led into kind of my next question around the retention metric. The 91% that you reported for the full year, I mean, does that include CPA Global? Because I was under the impression that's a higher renewal percentage business. And I know with stand-alone Clarivate, a big portion of your renewals came in kind of the first half of the year. Does that change now with CPA Global being on board going into 2021? 
JerreStead: So great question. It does not include CPA going forward. Again, it gets a little interesting because we want to make sure you see us organic. But we will do pro forma on revenue growth from a -- including all pieces of our company. So we'll report organic growth on the traditional Clarivate, but we'll report pro forma. So you'll get to see that and that will also reflect on our retention. And you're correct, on a historical basis, Gordon could give you a lot of color but the numbers from CPA were considerably higher. And so you'll see that as we go in. Your other comment, though, is critical. The confusion that was going on first half of the year with COVID, with customers, et cetera, clearly had an impact, some of which we picked up later in the year. But I think as we -- what we feel really good about, as we've gone into 2021, is what we're seeing from a retention standpoint across the board at this point in time. So it's a great question. And if I look backwards, which I try not to spend a lot of time other than learning what we could always do better, if I look backwards, clearly, the impact of COVID had more than we'll ever know, partly because we did so well despite that. And so the renewal rates, particularly, I think you can see plus all the other changes we've made in the new products offering, we're going to see pretty excited about 2021.
Operator: There are no more questions in the queue. 
Jerre Stead: So I'll wrap up. You all know I've done this a long time. I'm now in year 41 of being privileged to be part of leading public companies. And I have huge respect for the ones I've led in the past. None, however, has done what, in my wildest dreams, I just think I'd ever be able to tell our share owners, we increased our adjusted EBITDA margin 920 basis points. Think about that. If you know any competitor or any other customers or share owners that you companies that you follow that have done that, I'd be happy to hear it because I set tough goals for us and we'll go beat that one, if that's true. I just want to close with a reminder, one, thank you for everything you've done. But I said at the November 2020 conference that I would set my own personal goals, which I did, back to 2023. If you remember, they were $2.8 billion to $3 billion of revenue, $1.4 billion to $1.45 billion of adjusted EBITDA and $1 billion-plus of free cash flow. That's my personal goal. And I got to tell you, I couldn't feel better about us tracking those right now. I am so proud of our team and very proud of what we've accomplished in 2020. And as I said in the script, and Richard did, too, and both Mukhtar and Gordon added to it, we're in great shape moving forward into what will continue to be the race for success for all of our constituencies. Thanks very much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.